Jacques Stern: Good morning. Good afternoon, everyone. I am Jacques Stern, the CEO of Global Blue, and I am here today with Roxane Dufour, the CFO of Global Blue. We will present the H1 figures. Let me first start with the key takeaways of this first half. We have a very strong delivery. H1 revenue has shown a 20% increase, translating into a 36% increase in adjusted EBITDA to $102 million. Thanks to our operating gearing, we are happy to report an increase in the EBITDA margin of 4.6 points to 44.7% and a drop-through of revenue to EBITDA of 64%. As a consequence, we noted a solid acceleration of the adjusted EBITDA, coming from $175 million this quarter versus $164 million the previous quarter. All of this will be detailed by Roxane in a moment. We have also adapted our financial guidance to $185 million to $205 million. I will come back to that later in the presentation. Finally, we communicated this morning on an increased share buyback from $10 million to $15 million, with the extension of the program until November 2025. With that in mind, I will let you take the floor, Roxane.
Roxane Dufour: Thank you, Jacques. Good morning. Good afternoon, everyone. I am Roxane Dufour, the CFO of Global Blue, and I will take you through, as mentioned by Jacques, the group's financial performance for this second quarter and the six-month period ending at the end of September 2024. As a reminder, our financial year runs from April to March, so this is our Q2 and H1 announcement. All the reconciliation to the nearest IFRS metrics is included in the appendix. Let's start with the adjusted P&L related to our second quarter. We are very pleased to report another strong quarter with significant progress across the business when comparing performance versus the same period last year. Tax-free shopping solutions and payments reported sales in-store increased by €940 million, an increase of 14%. The group delivered revenue of €132 million, a 17% increase, driven by a solid performance in both tax-free shopping solutions and payments. Given the strong focus on variable cost optimization, the group delivered a contribution of €105 million, a 19% increase. Then the group delivered an adjusted EBITDA of €58.7 million, a 25% increase reflecting strong revenue growth and the high operating leverage profile of our business. This resulted in an improvement in adjusted EBITDA margin by nearly three points to 44.5% with a 62% drop-through. Finally, we recorded an adjusted net income for the group of €21 million, versus €40 million last year. Turning now to the detail of the divisional performance. Starting with tax-free shopping solutions, accounting for 77% of our group revenue in the quarter. The division delivered a strong performance with completed sales in-store growth of 15% and revenue growth of 18% to €102 million. You can see here that for the first time, we are reporting revenue growth ahead of our sales in-store growth. A few firsts, and very pleasing to note, similar to our first quarter, there has been no pricing pressure in the period, which has never been the case in the past. Then we have several positive mix effects and additional revenues, which have increased overall the TFS revenue by 6%. Those growth drivers were somewhat offset by a negative continental mix of 2%. This is because Asia Pacific is growing faster than Europe with sales in-store at 30% versus 25% last year, and the VAT rate in Asia Pacific is much lower at around 10% versus 20% in Europe. Then moving to contribution, which is revenue less variable cost, here, we deliver a 20% increase to €87 million, with a strong improvement in both Europe and Asia Pacific. TFS has a strong contribution margin of 86% with the variable cost mainly related to airport refunding costs. Turning now to payments. Payments accounted for 18% of group revenue in the quarter. Overall, payments delivered a revenue of €23.4 million, a 16% increase ahead of the 9% growth in sales in-store mainly due to increased margin on trades over gains. Then if we look at the contribution level of just over €13 million, €12 million from FX solutions with a strong contribution margin of 96%. Then €1 million is from acquiring with a contribution margin of 10%. And then you have €0.4 million from the integrated payment solution business, which has a contribution margin of 88%. Turning now to post-purchase solutions. Here, the business line accounted for 5% of group revenue in the quarter. This business line saw a slight decline of 1% with the revenue at €0.7 million with a contribution growth here flat at €4 million. Turning now to H1. As I said earlier, the significant improvement in revenue together with the high operating leverage profile of the business led to a 25% increase in adjusted EBITDA in the quarter with a 62% drop-through. Last year, we were at €47 million. And then with the additional contribution of €17 million coming from all the business lines, and fixed cost and FX exchange impact of €5 million, the group delivered an adjusted EBITDA of €59 million this quarter with an increase in adjusted EBITDA margin of nearly three points to 44.5%. Turning now to detail the first half performance. Here, we are showing the adjusted P&L. So for the first half of the year, and again, we see the same positive trends as with the second quarter. Tax-free shopping solutions and payments reported sales in-store increased by €2.5 billion, a solid increase of 22%. The group delivered a revenue of €250 million, a 20% increase year on year, driven by particularly strong performance in tax-free shopping solutions. As I mentioned, given the strong focus on variable cost optimization, the group delivered a contribution of €196.5 million, a 23% increase year on year. Turning to adjusted EBITDA, another significant improvement here with an increase of 36% to €102 million. This boosted the adjusted EBITDA margin by nearly five points, to 40.7% with a strong 64% drop-through. And finally, we achieved a net income of €27 million for the group, up 66% year on year. Turning now to the divisional performance. Starting with tax-free shopping solutions. The division delivered a strong performance with an increase in completed sales of 27% and an increase in revenue of 25% to €193 million. Tax-free shopping solutions delivered an impressive revenue of €193 million, up 25% year on year. Continental Europe contributed €162 million, a solid 21% increase, while Asia Pacific achieved €31 million in revenue, a remarkable 49% growth, driven by strong sales in-store performance. You can see here the slight difference in completed sales growth of 27% and revenue growth of 25%. This is due to the positive trends in mix effect and some additional revenue for 5%. And again, very important to highlight, no pricing pressure in the period. This has been offset by the negative continental mix of 7%. Then given this strong focus on variable cost optimization, delivered a 27% increase in contribution to €165 million and a strong contribution margin of 85%. Turning now to payments. Payments delivered a revenue of €43.7 million, up 12% versus last year. Outpacing the 7% growth in sales in-store, and this was primarily driven by the higher margin on trades over gains. FX solutions generated €22 million revenue, a solid 10% increase year on year. Acquiring revenue grew to €20.5 million, reflecting a 14% increase while the integrated payment solution business achieved €0.9 million in revenue, a solid 32% year on year growth. Here, we delivered a strong contribution growth across all the business lines with an average of 9.3%. Turning now to post-purchase solutions. Here, the business line delivered revenue of €13 million, a 6% year on year decline, while revenue was impacted by management decisions to move away from certain low contribution zigzag carrier contracts, the contribution growth of the segments after variable cost is solid at 7%. Turning now to adjusted EBITDA. Last year, we delivered €75 million in H1. Then this year, with the additional contribution of €38 million from all the business lines and fixed cost and FX impact of €11 million, the group delivered an adjusted EBITDA of €102 million, a double-digit increase of 36%, reflecting strong revenue growth and high operating leverage profile of the business. Consequently, the adjusted EBITDA margin increased by nearly five points to 40.7%. Turning now to adjusted EBITDA. Here, you can see the breakdown of our adjusted EBITDA. The adjusted DNA has increased by €6 million in the period to €24 million. This is mainly due to two factors. First, there was a €2 million increase in the amortization of capitalized software, which reflects the increase in CapEx related to software development over the last two years. Second, depreciation of leases increased by €3 million, which includes €1 million due to a change in accounting related to short-term leases, in accordance with IFRS 16 standards. As a reminder, following the ramp-up of the investment in software CapEx, in the coming years, annual software CapEx amortization should converge with the annual software CapEx spent. Turning now to the net finance cost. Here, we are showing an increase of €5 million in net finance cost versus the same period last year. This is mainly due to the increase in interest rates on the senior debt, which was 7.6% in the period versus 6.1% in the same period last year. Looking to the full year 2024-2025, the expected senior debt cost is €45.3 million, which includes a saving of €3 million from a swap on a repo for half of the senior debt. Turning now to the next slides. Here, we are showing the last twelve months adjusted EBITDA over the last eight quarters. As mentioned by Jacques in the introduction, you can see here there has been a solid acceleration in the last twelve months adjusted EBITDA to €170 million, up from €164 million in the previous quarter. To detail the cash flow. After an adjusted EBITDA of €102 million, the level of CapEx was €26 million in the period, essentially related to technology development. So the group delivered a solid improvement in adjusted EBITDA less capital expenditure of €76 million, a year on year improvement of €19 million. In parallel, reflecting the normalization of working capital, pretax and leverage free cash flow reached €57 million, versus €11.7 million last year. Finally, there has been an increase in net debt of €7 million that I propose to analyze in the next slide. At the end of September 2024, group net debt reached €516 million, consisting of gross financial debt of €610 million, and cash and cash equivalents of €94 million. This results in a net leverage ratio of 2.9 times. Turning now to the key takeaways. Here, to conclude the financial sections, here are the main highlights. First, we are very pleased to report a very strong first half of the year with a significant increase in revenue of 20% to €250 million. Second, reflecting the strong revenue growth and high operating leverage profile of our business, we delivered a strong improvement in adjusted EBITDA to €102 million, which is an increase of 36% from that reported last year, with a 64% drop-through. Then if we look at the last twelve months adjusted EBITDA, there has been a continuous improvement over the last eight quarters, reaching now €175 million, up from the €164 million in the Q1 quarter. Finally, we delivered a strong improvement in the net leverage ratio to 2.9 times versus 4.5 times in the same period last year. We reiterate our objective of being below 2.5 times. This concludes the financial sections, and I will now hand over to Jacques to present the latest trends, guidance, and the long-term goal drivers for the business.
Jacques Stern: Thanks, Roxane. Let's start the second part with the latest trends. On this slide, you have the figures for October 2024, which are very similar to our Q2. If we start with Europe, where we have the detail in a minute, you see that we are reporting a 12% issued sales increase versus 11% in Q2, so very similar. For APAC, we have a 29% increase, slightly slowing down versus Q2. We will come back to that in a minute. If we focus on Europe, the growth was 12% during this October time. We see that Italy and Spain remain very strong, with France coming back to the previous Olympics figures at 10%. During Q2, the Olympics had a negative impact, translating only into a 2% increase versus the previous year. If we switch to the right side of the slide, looking at nationality, you see that the main nationality in Europe is the US with an 18% contribution, and we are noticing a still very strong double-digit increase at 10% in October versus 15% in Q2. The European regional, which includes all the non-EU residents, contribute 16% with a 26% increase during October. Probably the last comment I will make is about China, which represents 10% of the total business in Europe. It has grown by 15% in October, in line with the 22% of Q2. Overall, performance in Europe remains strong double-digit at 12%, slightly ahead of Q2. We move to APAC, as I was mentioning, we have seen a slowdown of the growth at 29% versus 40% in Q2, mostly linked to Japan, with a 32% performance versus 57% performance, mostly linked to the strengthening of the Japanese yen. Also, if we look at nationality in this part of the world, Mainland China is a main contributor with 36%. We see a very strong growth of China with 50% in October, which is more or less in line with the Q2 figures of 58%. Let's now turn to the short-term guidance and the long-term target. I will start with the guidance for 2024-2025. We have adapted our guidance to €185 million to €205 million with the following context. We still see a very positive trend in the travel industry, particularly in the high-end segment, which benefits Global Blue. As you know, around 85% of our consumers take a plane to go abroad and shop abroad. The fact that the travel industry remains strong is a very good indicator for us. We are also pleased to report strong progress in the implementation of management initiatives, which translate into improvement in penetration of our solutions in our clients and more usage by customers, resulting in incremental growth versus just the market growth. Having said that, I am sure that all of you have noticed that the luxury market itself has reported figures clearly showing a slowdown. This has not been the case for the last quarter for Global Blue, and you can see the comparison between Global Blue figures and the luxury market in the last two quarters. This is mainly thanks to our exposure to affluent and high-net-worth individuals. However, we are not totally immune from this market. With that in mind, and also the fact that during the year, we have decided to accelerate some investment in future growth drivers, which had an impact of €5 million on the additional fixed cost, we have guided to this €185 million to €205 million. Coming back just a second on these new initiatives, three to mention, which will provide further growth in the future: new countries, where the pipeline is very healthy and where we believe that in the next 15 months, we will be able to open two to three countries, and therefore, we are accelerating our investment in this field. Second is Japan, where the Japanese government has decided to change the regulation in 2026, going from a system where there is no validation like in most countries to a system where there will be validation and where, like in Europe, consumers will pay in-store the VAT and will receive their refund after validation. Thanks to that, we believe that we will be able to increase the take-up in Japan, which is, as you know, one of the lowest in the world. Keeping in mind that in terms of volume, it is one of the biggest. With that in mind, it is a very sizable opportunity for us, and therefore, we are ramping up to bring all our expertise and know-how that we have developed for 40 years outside of Japan into the Japan organization. This means there are also some investments, but which will translate into a real sizable opportunity for growth first in 2026. Last but not least, on the payment side, I have already talked a little bit about our hospitality gateway. There is a lot of traction in the market there, with potential for growth in terms of rolling out new hotels in the next 15 months. We have also sped up growth in that perspective. With all that in mind, as mentioned, we have adjusted EBITDA guidance of €185 million to €205 million. For the long-term target, I would say in short, no change. We remain committed to a target of 8% to 12% in terms of revenue growth with a drop-through of 50%, CapEx between 40% and 45%, neutral working capital in terms of cash flow, and a tax rate of between 24% and 26%. As mentioned before by Roxane, we remain with this long-term objective to be below 2.5 times EBITDA versus net debt in terms of net leverage. Last but not least, I would like to finish with this slide which reminds all of us that Global Blue is well-positioned against inflation or recession risk. Just to remind you that in the last four years, our underlying business, which is luxury, has increased the price by 27% versus inflation, which was only 20%, which means that the revenue of Global Blue has been indexed on this luxury price increase, and therefore, we have benefited from that. On the other side, in the case of a recession, particularly in Europe, we have seen in 2008 and 2009 that Global Blue was very resilient. At that time, we were capable of posting flat sales growth while the luxury market was negative by 8% and the travel market by 16%. The main reason for that being that, as I have already mentioned, we are really skewed to high-net-worth individuals and affluent networks, which are more resilient to any economic shock. So in summary, not sensitive to inflation, and resilient to recession. In conclusion, very strong H1 figures. I will not go into detail, but I think the acceleration of the last twelve months EBITDA to €175 million is a very good indicator of our capability to reach for the full year €185 million to €205 million, which is our guidance. As mentioned in the introduction, we have decided to increase our share buyback from €10 million to €15 million with a program that will continue until November 2025. Thank you very much for listening.